Operator: Good afternoon, everyone, and welcome to the Cresud Third 2019 Results Conference Call. Today's live webcast, both audio and slide show may be accessed through the company's Investor Relations website at www.cresud.com.ar by clicking on the banner Webcast/Link. The following presentation and earnings release issued yesterday are also available for download on the company's website. [Operator Instructions] Before we begin, I would like to remind you that this call is being recorded and that information discussed may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. And I would now like to turn the call over to Mr. Matías Gaivironsky, CFO. Please go ahead, sir.
Matías Gaivironsky: Thank you. Good afternoon, everybody. So we are starting our nine months period conference call. Remember that since the last quarter we started to assist our financial for inflation. So all the information that we have now is assisted to reflect the current purchasing power of the peso. So we finished this nine month period with a loss in the ninth month of ARS 9.8 billion, AES 6.8 is attributable to our shareholders. We will see later the main explanations, but it's basically the losses due to effects and lower results from our investment properties and fair value of our investment properties. When we see our EBITDA, we posted adjusted EBITDA for the period of ARS 15.8 billion, that is 25.9% above last year. When we see the breakdown of this 256% came from our agriculture production. 60% is the farming, 7.1% above in the Argentina rental adjusted EBITDA and 42.2% in the Israel rental segment – real-estate segment. When we see our production for the year, we are increasing 19% the planted area against the last year. We will reach 248,000 hectares for the period, for the year, that is our record in our history. We already finished 100% of the harvest in the wheat, 65% of the soybean, 12% of the corn and we will see with Carlos evolution in all the segments and you will see that we are having very good results for agriculture. Finally, regarding – we started a new share buyback plan up to ARS 300 million pesos. We already purchased 14.5% of the program and we will plan to continue after the presentation of these financials. So with this now, I will introduce Carlos Blousson, our General Manager for our operations in Argentina and Bolivia. Please Carlos, go ahead.
Carlos Blousson: Okay. Good evening, everybody. Thank you, Matías. Let's look at the Slide number 3 or Page number 3 planted area evolution and develop evolutions. Let's begin by talking about the planted area evolutions. As you may see there is an increase 24.7% of the 248,000 hectares planted, as Matías told before. We generated historical record mainly due to the growth of area in Brazil and in Argentina. The crop breakdown has made up of 51% soybean, 28% corn, 12% sugarcane and 10% other products. Regarding the farm develop evolution, we developed 8,5000 hectares among in Argentina, Paraguay and in Brazil in the last fiscal year. Let's go to the next page Slide 4. Overall regional good weather conditions. Argentina's weather condition has recovered from the strong drought that the country suffered during the last campaign. And the climate tends with good prospects, especially in Argentina corn belt on the west of the country. Brazil also had a good weather condition expect for this small drought in the North East in the state of Bahía and Maranhão. As you can see in the next page, Slide number 5 about commodity prices and global stocks. As we see in the graph, we continued with a trend of low prices in two year. We mainly see a price dub of 12% in soybean, due to two factors. The first factor is the commercial war between United States and China, generating an increase in livestock soybean stocks of 22% as you can see in the graphic in the relation of stock/consumption is star conceptions, crossing year-to-year fold in prices for at least the last 10 years. The second factor is a swine fever in China. It was caused by the increase of the stocks pigs. As a question of that, there has been a decrease in the demand of about 10 million tons of soybean approximately. When we see the corn price in the graphic, the result was not as adopted as in soybean due to the fact that the worst stocks remain constant with an increasing demand. Please go to the next page Slide number 6 right into crop and cattle productions. The increase in crop productions is to good climatic conditions and increased on the side of the area. In the region, we are expecting a production close to 817,000 tons increasing by 52.6% year-to-year. Today, the regional harvest progress is 64.7% in soybean and 12.3% in corn. Confirm an improvement in yields respect to the budget. The sugarcane production also increased 13.2% year-to-year due to the increased in the area and the good yields. And finally, the meat production and cattle heads this production remain at the same level of the annual productions and we see to include the number of cattle because in Brazil growing in their stocks. Thank you for all for attention. Now Matías will continue with the presentation.
Matías Gaivironsky: Thank you, Carlos. Going to Page 7, here we have our investment in IRSA, the different segments on the commercial real estate. So starting with the shopping malls, we can see a slight decrease in our portfolio in terms of GLA, we decreased from 340,000 square meters to 332,000 square meters. This is basically the end of the concession in Buenos Aires design. When we analyze occupancy, the occupancy decreased from 99% to 95%. Here we have the fact of vacancy generated by the resignation of an agreement of Walmart, a supermarket in the DOT by the shopping. So excluding this effect, the occupancy will have been 98.3% remaining in very good levels of occupancy. Analyzing the same shopping malls, we can see that the real terms – in real terms, our sales decreased by 14.7%, excluding the effect of Walmart also, the decrease would have been 13.6%. And if we exclude the home appliances that reduced significantly during the quarter also the figures are better. Regarding the offices, we can see that the portfolio remain stable at 83,200 square meters after the closing in March, we opened the Zetta Building that will add 32,000 square meter to our portfolio that is fully occupied. Our tenants already open, so we will start to see the occupancy levels in the next quarter considering this opening. And also for the next year, we expect the finalization of the 200 Zetta Building that will add another 30,000 square meters. Regarding the occupancy in the offices remain at the same level 91%, the rent in per square meter in $26.30 per square meter. Regarding our hotels, the rates increased a little to $203 and occupancy 69.3%. And we will see that the segment is generating good results this year. Going to Page 8. Here we included the main events for our Israel Business Center that is related to our holding of Clal, Clal is the insurance company, if you remember we have been talking about that the regulator is forcing us to sell the shares in the market. So during the period we submitted a control permit requests that we did in March this year. That is under progress or no news yet, to share. But we ask for the control permit and they grant us and if we execute that option than that means that we don't have to sell more the shares in the market. In the meantime in compliance with the regulation, we sold shares after the end of the period. So we sold 10% of the shares to families. It's very well reputable people in Israel. So we sold 5% of the share to each of them and also we granted options to a third investor also for 5% of the shares. So in total, we granted shares or options for 18% of our stake. Remember that before we control Clal or we hold Clal 55% or 54% of the share. So after this exposure we will have around 37%, if all the parties execute the options that they have. But today, what we have after the exposure is 45.3% of the shares, 20.3% are directly held and 24% are held by swaps. And we saw a positive market reaction after the disposal that the share price increased 20% in three days. So now the market cap against the equity is around 70% with a market cap of around $967 million. Also other important challenge that we need to fulfill before the year-end is regarding Concentration Law. So we will keep working towards finding or implementing a solution of the Concentration Law that basically means that we need to reviews one more layer of the public companies that we control in Israel. Going to Page 10, here we have our financial statements. As I mentioned, we finished the period with an loss of ARS 9.8 billion, against gain last year of ARS 10.5 billion. And we will see their main reasons. The first one is in the line 6. The change in the fair value that we can see that during the last year we had a positive result of ARS 8 billion against a negative result this year of ARS 4.7 billion. When we see the operating income line, leaving aside this effect or the gross profit, leaving aside the effect of the change in the fair value we see better results. So you can see in the line 5, the gross profit increases from ARS 18.6 million to ARS 21.6 billion. We – in the Agribusiness segment, we can see that the gross profit also is 19% positive. When we go to the operating income, you can see in the line 11 a decrease of 18%. Here the main reasons are two. One is in the line 9 that is the other net operating results that are related to our stake in Paraguay that we did a spinoff of our holding in Paraguay and we separated the company in two and we used to have a 50-50 JV with a partner there. So we’ve decided to finish this partnership and when we finished we have to revalue our stake and that generated a profit during in the last year that is included in the ARS 718 million of the last year. And we see there, we have the results on the – our hedging results. In the line 6 also, we can see a change in the fair value that part of the properties that we had affirmed that we have in that will rent two third parties. We appreciate it. And during the last year and this year, we have a slight decrease in the change in the fair value. So those are the two main reasons of the decrease in the operating income. But we will see in the next Page regarding our adjusted EBITDA that we are having very good results against last year. So we can move to the next page. Page 11, the adjusted EBITDA by segment and as I mentioned in Agribusiness, you can see that the farming generated a profit or adjusted EBITDA of ARS 1,330 million, so ARS 1 billion that is 60% above last year. And when we see the breakdown of that in the grains segments, we increased by 95% in the sugarcane, a decrease in 19% cattle milk. And cattle and milk, we reviewed the losses in the segment and agriculture rent and services remain stable and others improved significantly. So when we see the grains, as Carlos mentioned, this year we decided to increase significantly our production and that is generating better results. The year is not finished yet. So we have an advance in the campaign in the soybean of around 65% and in the corn 19%, so we will keep seeing good results towards the year end. But basically, what we are seeing here is an increasing the surface and increasing yields prices, we have been able to close part of the prices before the last drop in the market. So we are having good prices as well and also that evaluation that help us in the year. The sugarcane, we see lower result. Last year, we incorporated a farm that advance in the sugarcane that was very profitable. This year, we started to produce over there. We are having more cost for the production that last year that advance in the products where when we acquire, we’re already done by the former owner. In the cattle and milk, we decided to discontinuate the milk production. So now we have only the cattle. Last year, we have results from milk, there were losses. So this year, what we have in the segment that is different since the inflation assessment is that all the holding results – part of the holding results now are incorporated in their inflation assessments. So what we see in the segment is only the profit or the result above inflation. So we are growing low inflation, we have a better resource and if not, we will see a loss in the segment. Going to the urban segment, we can see in shopping malls, a decrease of 14%, that is related to the lower consumption levels in Argentina. They lose of purchasing power of the people that is affecting the segment. In the offices, much better result because our agreements are in dollars, the evaluation help us in pesos term and also incorporation of the Zetta Building that we already started to recognize results in the quarter. So that is the reason of the 88% increase. Remember that this is above inflation. On hotels 600%, also much better results in the year, better occupancy level and better rates. In sales and development, we haven’t sold any significant property during the year against last year that we sold one property at a good price. So that is the reason of the decrease. In Israel, we can see that the real estate segment is performing very well. Here we have one accounting new rule that allow us to recognize results from our residential activity, consider only the commercial real estate, we are almost flat in shekels term, that when we translate that shekel to peso is 22%. So in telecommunications, we are performing below. The real evaluation of the shekel – of the peso against the shekel and here the reason is basically the competitive environment in the telecommunication in Israel, the other that is basically our costs of the different holding companies. Going to Page 12, we have the other important accounting effect on the period that is they consolidated net financial results that we can see in the bottom of the page. The two main drivers, one is the evaluation this year or this period, we had an evaluation of 51% against 22% last year that generated lower results in the Cresud segment Cresud column that is the first column and in IRSA is all related to our dollar denominated debt that is generated net effects losses and also generate more interest payment in peso term. Most of our debt is in dollars. In finally in IDB and DIC, we have the main driver is the evaluation of the Clal share. Remember that Clal, we value at market price. So last year, we saw an increase of 7.1% in the shares against a drop of 2.3% in this period. That generated lower profits in that is included in the line 4. You can see gain last year and lost this year. And also the other important effect is in the line 3 that is related to this debt swap that we need in DIC level that generated losses in the last year. So with this, we finish the net financial result was ARS $14.9 billion loss against the loss of ARS 12.06 in the last year. So finally on Page 13, we can see the evolution of our debt amortization schedule out there. And the net debt of the company schedule as of March was $423 million and the net amortization schedule such that expire in the following years. With this, we finished with the formal presentation. Now we open the line to receive your questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions]
 :
 :
Operator: And at this time, I’m seeing no questions. So this will conclude your question-and-answer section. I’d like to turn the conference back over to Mr. Matías Gaivironsky for any closing remarks.
Matías Gaivironsky: Okay, thank you. We have some very good operational results in the first nine months of the year. So we expect to close record campaign next quarter with very good deals and high agriculture production in the region. So thank you very much for your participation. I’ll see you next quarter in our fiscal year 2019 annual results. Thank you.
Operator: Thank you. This concludes today’s presentation. You may disconnect your lines at this time and have a nice day.